Operator: Good morning, everyone. Welcome to Exchange Income Corporation's Conference Call to discuss the Financial Results for the three and nine months period ended September 30, 2021. The corporation's results, including the MD&A and financial statements, were issued on November 11, 2021 and are currently available via the company's Web site or SEDAR. Before turning the call over to management, listeners are cautioned that today's presentation and the responses to questions may contain forward-looking statements within the meaning of the Safe Harbor provisions of Canadian provincial securities laws. Forward-looking statements involve risks and uncertainties and undue reliance should not be placed on such statements. Certain material factors or assumptions are applied in making forward-looking statements and actual results may differ materially from those expressed or implied in such statements. For additional information about the factors that may cause actual results to differ materially from expectations and about material factors or assumptions applied in making forward-looking statements, please consult the MD&A for this quarter, the Risk Factors section of the Annual Information Form and Exchange's other filings with the Canadian securities regulators. Except as required by Canadian securities law, Exchange does not undertake to update any forward-looking statements. Such statements speak only as of the date made. Listeners are also reminded that today's call is being recorded and broadcast live via the Internet for the benefit of individual shareholders, analysts, and other interested parties. I would now like to turn the call over to the CEO of Exchange Income Corporation, Mike Pyle. Please go ahead.
Mike Pyle: Good morning, everyone, and thank you for joining us this morning on EIC's third quarter conference call. With me today are EIC's President, Carmele Peter, who will provide some operational insights from the quarter and provide insight into the outlook for the company; and Darryl Bergman, who will provide a more detailed breakdown of our third quarter results. EIC has consistently delivered strong performance through the pandemic. And the third quarter of 2021 was no different, achieving new records in several financial metrics. We have learned, however, that the end of the pandemic will not occur quickly or evenly. It has become evident that there will be surges of COVID even with high vaccination rates. But, fortunately, these surges will be smaller and less lethal than previous outbreaks. We have also seen that many of the side effects of the pandemic are still worsening, and it is difficult to ascertain when they may subside. Supply chain disruptions, inflation, and labor shortages are all causing challenges in the economy, and likely will for the next few quarters. We will come back to some of these issues later in the call, but first I would like to focus on the exceptional results in the third quarter. The third quarter marks the second reporting period with a prior year comparable was also impacted by the pandemic. As such, it reflects the progress that is made by EIC, together with the continued abatement of the COVID outbreak. I should point out that these results have been achieved even with a dramatic decline in government support programs. Aggregate government support fell by 79% when compared to the previous year, and declined by 69% when compared to the second quarter of 2021. In fact, aggregate support in the third quarter totaled only $5 million, and was entirely from programs in preceding quarters, which could not be quantified at that time. In this context, the third quarter improvement is even more impressive. Financial highlights include, revenue grew by 35% to $400 million, this exceeded the previous high of $363 million in the fourth quarter of 2019. EBITDA increased 14%, to $95 million; this exceeded our previous high of $89 million in the third quarter of 2019. Earnings per share increased 18% to $0.58 per share, while adjusted net earnings increased 24% to $0.73 per share. Free cash flow less maintenance capital expenditures increased 9%, to $48 million, and by 1% to $1.27 on a per share basis. The lower rate of increase on a per share basis is driven by an increase in the number of shares outstanding. Finally, the payout on a free cash flow less maintenance capital expenditures basis continues to strengthen. And for the 12-month period, ending in Q3, declined to 57% from 73% in the preceding year, and from 58% sequentially in the second quarter of 2021. The strong performance was driven by exceptional performance in our Aerospace & Aviation segment. There were many contributors to the strong results. The largest contributor was the freight, passenger, and charter operations in northern communities. Increased vaccination levels and lower stress on the medical system from the pandemic allowed passenger volumes to continue to improve through the third quarter. The improvement varied by region however. The Maritimes were the strongest, with volumes in most markets returning to pre-pandemic levels. Passenger volumes in Central Canada, Manitoba and Northwest Ontario reached approximately 75%, while [indiscernible] lagged slightly, at approximately two-thirds of historical volumes. The volumes flattened out, and in some markets reversed slightly as a result of the intensity of the fourth wave. This trend continued until the present, although we are very recently beginning to see signs of strength again. It is clear that for the volumes to reach historical levels the available capacity in our medical system will need to improve. Through the pandemic there, by necessity, has been very limited access to doctors' appointments, diagnostic testing, and treatment. As such, there is a very significant backlog of patients waiting their turn to access the medical system. As the pressure on the system created by COVID lessens, access will improve and passenger loads will increase. It is very important to understand that these high levels of demand will be with us for the foreseeable future. Even when the normal -- the medical system returns to normal, there will not be the necessary elasticity of supply to quickly satisfy the backlog, and as such we anticipate experiencing higher than historical demand for a prolonged period of time. Freight volume has been significantly higher than normal through COVID, as northern residents ship in purchases that historically would have been purchased on trips to the south. This demand is not subsided with the increased passenger travel. And as such, we anticipate the higher freight volume is a permanent part of the northern aviation landscape. Our rotary wing business has been very strong through the pandemic, as investments in multiengine night flight aircraft has expanded the number of potential customers, strengthening natural resources exploration and development has also increased demand, while 2021 was a very strong firefighting season. Our maritime surveillance business is built around long-term government contracts. And as such, has been a stable source of cash flow throughout the pandemic. Our short-term rental aircraft, the Force Multiplier, where revenue is inherently more variable, was also busy during the third quarter. Finally, our medevac business continued the strong performance we have become accustomed to during the pandemic. Revenues improved over the preceding period. We are very pleased to add Carson Air to the EIC family early in the third quarter. Carson is the lead provider of medical services to the B.C. government. They are well known for an exceptional management team, led by Kevin Hillier. In their first quarter under EIC ownership, they exceeded our lofty expectations. We have seen a dramatic increase in fuel prices during 2021. We were able to pass these costs through to our customers. While there may be short-term impact to our margins while surcharges are enacted, but it is not expect to be material in either the medium or long-term. The second major contributor to our performance was the bounce back of Regional One. You will recall that Regional One has three primary revenue sources; part sales, aircraft and engine sales, and leasing. Regional One customers are airlines around the world, and as such it was amongst the most affected of our subsidiaries by the pandemic. We have seen a significant recovery of business through the year, but particularly in the third quarter. The strength in aviation in the U.S., in particular, has driven parts revenues back to very close to pre-pandemic levels. Asset sales are inherently more variable, because each sales was significant in dollars, and a few transactions can make a big difference in revenue. Strong demand for the CRJ aircraft in North America, and Q-400 turboprops internationally drove near record sales levels. These transactions will vary in the future, but the near-term looks very encouraging. The leasing business improved from the comparable period in 2020, as well as sequentially from the second quarter of this year. The majority of our lease fleet is located outside of North America, where airline recovery has been slower. We expect that lease revenue will reach 2019 levels by mid 2022. Manufacturing segment EBITDA declined year-over-year, largely driven by the end of CEWS support. No government support was recorded in the third quarter, nor is any support expected in the future. Demand remains strong, and revenue is largely unchanged from the pervious period. We were however hit at Quest operation as the cost and challenges of pandemic construction resulted in many projects being delayed. The sales cycle at Quest is for one-and-a-half to two-and-a-half years, and as such, it is impossible to backfill the holes of the production schedule. We expect these challenges to continue well into 2022. Longer-term demand is solid, and many of the projects are being rescheduled for future dates. And there are many new projects out for bid. We have also seen the impact of supply chain issues, which have reduced the efficiency of our manufacturing sector. They have not caused significant dislocation at this point of time. But we will keep a close eye on future developments. We've also seen inflation creep into the cost of raw materials, aluminum and steel in particular, some of our businesses can these troughs are pass on to our customers. Well in others, we have fixed price contracts where the increased costs hurt our margins. The increased costs will of course in the future be passed on in future contracts. I will leave the discussion of our balance sheet initiatives to Darryl and the acquisition landscape to Carmele. ESG has become a very topical, it's become very topical in recent periods, and I would like to speak to our approach. With investors looking for a way to quantify performance in this area, Scorecards and rating agencies have become a big part of evaluating ESG performance. We're working on formalizing our ESG reporting and providing greater clarity on things that we do and have done for a long time in the next few months. We believe that the topics covered by ESG reporting, however are much more than a scorecard. Rather, they're about the opportunity to make a difference to do the right thing, because it is the right thing and not because you think someone is watching. To that end, I would like to talk about the two examples that have occurred recently where EIC has made a difference. In 2017, EIC began a program where we bought Youth in remote Northern communities in order to attend a professional sports event, primarily the Winnipeg Blue Bombers, but in more recently, we have added the Winnipeg Jets as well. The intent of the program was to give youth a chance to see what was available inside their community and derives a sense of hopefulness and thereby a small way help combat the youth suicide problem in many of these communities. The program was very successful and grew until the pandemic hit, the pandemic shutdown Pro sports and then ensured they were played before empty stadiums and arenas. When the Bombers announced they would be playing before double vaccinated fans this season, we knew we would have an opportunity to resume some format of our program. The only requirements that unvaccinated children can attend with a parent of vaccinated adults created a wrinkle into our past model where we are almost entirely aimed at youth. The recent focus on the residential school issue and Every Child Matters campaign was exceptionally important. Indigenous people and First Nations are important part of our aviation program. And we knew that drawing positive attention to this issue was something that we could and should do. We decided that in recognition of Truth and Reconciliation day, we will partner with the Winnipeg Blue Bombers and the Association of Manitoba Chiefs in our biggest game day project ever. We announced that EIC expense we were bringing the thousand family members from approximately 80 communities from across Manitoba, Northwestern Ontario and Nunavut to see the game between the Bombers and the Edmonton Elks on October 6. This is a very ambitious plan as 1000 people as more people that we will historically have brought in over two football seasons. The logistics of travel to Winnipeg sourcing accommodations, confirming vaccinations and transportation to and from the game were massive. I owe a huge debt of gratitude to my team at EIC together with AMC and the Bombers who enabled us to pull this off. Just having the people be able to attend and celebrate the great Canadiana that the CFL is was a victory in and of itself, but we also wanted to increase the exposure to the importance of reconciliation to the country. I am so grateful to the Bombers, the Elks, and the CFLs who agreed that this was a huge opportunity to do the right thing. And under the guidance of Mr. Wade Miller, the Bombers CEO, we pulled off a first in 100 years plus of the CFL. Both teams warmed up in matching jerseys, Orange jerseys, the color of the Every Child Matters movement, EIC purchased all the games, attendees, bright orange hoodies emblazoned with the Bomber yet logo. Fans at the game and across the country on TSN could not miss the recognition of a very important issue and the very positive way it was accomplished. The Bombers in the out took it one step further auctioning off their orange jerseys and giving the proceeds to first nation sports programs. The program required a commitment of approximately $1 million for me I see and it was worth every $0.01. The second initiative I would like to mention is our life and flight and Bill Wehrle Scholarship. We want to increase the number of indigenous pilots and more so the number of indigenous pilots serving their own communities. We were very pleased at the first winner of the Bill Wehrle Scholarship. Mr. Tik Mason completed his pilot trading at Moncton Flight College and flew sufficient hours to begin his flying career at Perimeter where he piloted his first flight to his home community of St. Theresa Point in October. Tik did an awesome role model of what is possible. And we look forward to many other young men and women following his footsteps into a career as a pilot or a maintenance engineer. ESG is proud to assist in some to assist or in some cases fully fund the cost of this training. I should point out that we named the scholarship after the Founder of Perimeter, Mr. Bill Wehrle, Bill was adamant from the day we began discussions to acquire his company in 2003, that EIC continue to invest in the communities and the people we service. Bill was a pioneer in Aviation and certainly an industry leader in giving back. The roots of social responsibility run deep in our subsidiaries. There are other projects we could discuss such as EIC assisting and building a fish processing plant in one of the Northern communities we service, but I will leave it here for now. I just want to make sure that all of our stakeholders know we take our social responsibility very seriously and are committed to giving back to the communities we service. One final matter before I hand the call to Darryl. Gary Fillman the Chair of EIC since our inception in 2002, as announced he will be leaving EIC at the end of this term following our AGM in May. Gary has been a remarkable leader at a source of stability as our company has grown from a small capital pool company on the venture exchange to a $1.5 billion market cap company in the TSX index. We will certainly miss his guidance and oversight. I will now hand off the call to Darryl for a more detailed look at our financial results.
Darryl Bergman: Thank you, Mike, and good morning, everyone. As Mike reviewed, the third quarter site EIC again deliver exceptional financial results. While I would in no way go on record to say we're out of the woods just yet, it is encouraging to see the company successfully achieve all time high results on revenue, EBITDA, free cash flow, less maintenance CapEx within the quarter with a further mention to improving the free cash flow, less maintenance CapEx payout ratio to a pre-pandemic level. I will begin by commenting on our balance sheet and liquidity before moving on to specific results for the quarter. The continued commitment and focus on the strength of our balance sheet with modest leverage and good liquidity remained intact in Q3 to complement the bought deal equity offering completed in Q2 of this year, which was used to find growth CapEx and the acquisitions of Carson and Macfab in Q3, we completed two other transactions that led to further liquidity and balance sheet strength. On August 6, we completed the extension of our corporate credit facility out four years to August 2025, capacity, pricing and covenants remained unchanged. Also within the quarter, the corporation completed $144 million convertible debenturing offer -- offering using the proceeds to exercise its right to call on in June 2016 debentures and repaid indebtedness. Notably, the new 2021 offering maturing in 2028 period the same 5.25% rate as the June 2016 convertibles that were called within the quarter. Support and capital markets remain strong evidence by over allotments on both the previous quarter's equity issuance and the current quarter's convertible offerings being recognized along with the strong support from the corporation lending syndicate, extending the corporate credit facility on existing terms and conditions. The size of the corporation's credit facility as at September 30 was approximately $1.3 billion with the ability to access another $300 million in an accordion feature should we choose to exercise it, giving the corporation a combined access of up to $1.6 billion. At the end of the quarter, the corporation had readily accessible access to liquidity and cash and under its credit facility of $910 million including the accordion. EIC liquidity position is set to provide exceptional flexibility to support future growth. Combined with strong free cash flow, our liquidity position continues to be favorable. And after considering our expectation of using the remaining net proceeds of the July 2021 convertible debentures offering to redeem the convertible debentures maturing in December 2022, the corporation will not have any long-term debt due until June 30, 2025. EIC's long-term debt in the quarter net of cash of roughly $681 million is a decrease of approximately $44 million since December 31, 2020. And even more noting is that it is $17 million less than the last full pre-COVID quarter, December 31, 2019. The corporation targets leveraged to be within 1.5 to 2.5 times senior debt to EBIT range. Q3 2021 leverage is near the top end of this target ranges caused by the reduction EBITDA brought on from the impact of COVID-19, but continues to steadily improve. Our current leverage ratio for the quarter end is 2.25 times, which is well below both the current credit facility covenant requirement of 5 times and notably the 4 time requirements, which will come back into effect for year-end. That said with investments we have already made, exiting the pandemic we expect EBITDA on a $400 million run run-rate basis, which will turn -- which in turn would relate to a leverage ratio more in the midpoint of our target range of 2 times or less. Further on our balance sheet, we ended the period with working capital of $312 million, which represents a current ratio of 1.82. This compares to a working capital of $324 million and a current ratio of 2.1 at the end of 2020. As I turn to revenue and EBITDA, I will focus on highlighting the key quarter-over-quarter changes. A detailed analysis of both can be found in the quarter's MD&A release on November 11. In Q3 2021, EIC's revenue hit an all-time high of $400 million, which is an increase of $103 million or 35% from Q3 last year. The aerospace and aviation segment revenue increased by $104 million, while the manufacturing segment revenues were essentially unchanged decreasing by $1 million. Aerospace and aviation segment revenue was up 61% to $275 million. That competitive increase was driven largely by passenger and charter revenues that saw significant increases in comparison to the prior period. The corporation's rotary wing operations also delivered strong results in the quarter driven by fire-related services and exploration activities picking up and demand for our ISR assets remains strong and continued as well to the increase in revenues. Revenue in Q3 also benefited from the acquisition of Carson Air in the quarter with no prior year comparative. Medevac and cargo revenue, which remained strong throughout the pandemic also contribute to the increases in revenue during the third quarter. Revenues at Regional One were stronger and up considerably 174% compared to the prior period. The increase was driven by significant increase in parts and engines and aircraft revenue sales or revenues in the period. Accelerated return of air travel in certain jurisdictions, most notably in the United States, has been positive driving the increased sales and service revenues. Before moving on to EBITDA, it's worth highlighting that total support received from all levels of government, including amounts received under the CEWS program in 2020, declined by 79% compared to the prior period. The corporation has not received any support under the CEWS program since the end of Q2 2021. Within the quarter, support amounts were recorded from the Manitoba and Ontario Provincial governments, although the amounts recorded with respect to previous periods where uncertainty around what ultimately would be received to not be quantified at the time. Barring any unforeseeable changes brought on by the pandemic, the corporation does not expect to qualify for government funding of any type into Q4 2021 or thereafter. Now on to EBITDA, consolidated EBITDA was $95 million, up 14% or $12 million compared to the prior period. The increase was entirely attributable to the aerospace and aviation segment partially offset by a decrease in the manufacturing segment and higher head office costs. The consolidated increase was achieved despite overall government funding in the third quarter of 2021 decreasing by $20 million compared to the prior period. When government subsidies are excluded from both periods EBITDA increased by 55%. EBITDA in the aerospace and aviation segment in Q3 2021 was $89 million, an increase of $27 million compared to the prior period. While scheduled passenger operations in certain markets remains lower compared to the pre-pandemic operating environment, the strong increase compared to 2020 drove the improved EBITDA. In addition robust cargo, charter and rotary wing operations also contributed to the increased EBITDA compared to 2022. The drivers within this segment lending to the increased EBITDA are largely the same as what drove revenue. Passenger volumes have rebounded largely attributed to an uptick in vaccination rates, although the improvement is varied across geographical markets. In the manufacturing segment, EBITDA was $16 million, a decrease of $11 million compared to the prior period. More than half of the decrease in EBITDA compared to the prior period is attributable to the decreased CEWS received in the segment in 2021. EBITDA at Quest was lower than prior period, reflecting the impact of project delays, changes in product mix and its installation business, where lower margin projects were completed in the current period, the impact of the current strain on the global supply chain, including the increased raw material and transportation costs, and a reduction in amounts received under the CEWS program. The balance of this segment collectively experienced an increase in EBITDA excluding the impact of the CEWS program in both periods, as the supported received in the current period declined by $5 million. Turning to earnings, the free cash flow in Q3 2021 EIC's diversified platform, once again demonstrated its ability to achieve positive earnings and positive cash flow over a period defined by economic uncertainty. Net earnings for the quarter were $22 million and adjusted net earnings were $28 million, representing an increase of $5 million and $7 million respectively over the prior period. The increase in EBITDA was partially offset by two items. The first being depreciation, where depreciation on capital assets increased by $4 million during the period as Regional One expanded the number of assets and its lease portfolio and our airlines increased their flying hours. Also the acquisition of Carson Air increased depreciation during the period. Second, reducing net earnings was non-cash accelerated interest accretion, which as a result of the early redemption of the corporation's debentures maturing in June 2023 increased interest costs by $3 million. Mike noted previously in our call, our improvements in net earnings, adjusted net earnings and free cash flow per share. That said it should be recognised that in the period the weighted average number of shares increased by 8%, which partially offsets any increase on these per share results. In Q3 2021, free cash flow increased by 26% over the comparative period to $73 million, or $1.91 per share. These results were driven by the increase in EBITDA and decrease in current taxes. The free cash flow less maintenance capital expenditures payout ratio on a 12 month trailing basis remains a strong indicator of the corporation's ability to actively manage cash flows, despite unpredictable economic conditions. The trailing 12 month free cash flow less maintenance capital expenditures payout ratio improved to 57% at September 30, 2021 from 73% in the comparative period. This is achieved through diligent management of capital expenditures during the pandemic. The resulting 12 months trailing free cash flow less maintenance CapEx payout ratio in the quarter is a significant achievement, and it now is back in line with pre-pandemic levels being equivalent to a comparative payout ratio at December 31, 2019 of 57%, which represents the last full pre-pandemic quarter. To sum up, EIC's ability to reach all-time highs within a quarter on revenue, EBITDA and free cash flow less maintenance CapEx and improve our 12 month trailing free cash flow less maintenance CapEx to pre-pandemic levels is solid evidence of the successes we've achieved in managing the challenges of the pandemic. We continue to successfully strengthen our liquidity and balance sheet foundation in the quarter anticipating support for future growth. That concludes my review of our financial results. I will now turn the call over to Carmel to share some thoughts on EIC outlook for the coming months.
Carmele Peter: Thanks, Darryl. Before discussing the outlook for businesses, our future investments, both CapEx and acquisitions and EIC as a whole, I would like to briefly touch on another topic being our DSU plan, which has been in place since the establishment of EIC in 2004. Our DSU plan has historically not distributed vested units until retirement, which has resulted in some participants having vested units for over a decade. In reviewing industry norms and best practices, the compensation committee has determined that it is appropriate to authorize the distribution of a portion of those long-term vested unit to certain participants. Also in connection with this review and to be industry leaders, the compensation committee is increasing the required equity holds for the CEO and other senior executives. So, for instance, the CEOs hold requirement will now be six times. Now, I will turn to our outlook. First of general comment, which is that while we are encouraged and have realized very positive results by increased vaccination rates, easing restrictions, and gradual return to normalized operations, COVID-19 will continue to impact our businesses in the short-term. Let's first look at our passenger business. We experienced positive momentum in the third quarter up to both middle of September when in this COVID case counts, a decrease leisure travel pause any further increases and, in some regions, created a slight erosion on volumes. Although growth in volumes has stalled, they have remained steady in Q4 which we expect will continue for the balance of the quarter. The current passenger volumes in each of our regions compared to pre-pandemic levels are as follows: The maritime to return to pre-pandemic travel levels and will be bolstered by pal airlines scheduled service expansion into Q3 that saw new routes added. Central Canada is operating about 75% with stronger volumes in Manitoba offset with lower passenger numbers in Ontario, due to continued travel or continued community travel restrictions. And Nunavut passenger volumes have reached about 60% to 65% of pre-pandemic levels, isn't anticipated to take another several quarters to return to historical volumes due to continued significantly reduced access to medical diagnostics. Medical capacity for such treatments begins to open, it is anticipated to beget gradual meaning over a few quarters as medical professionals and resources will not shift all at once, but over time from COVID requirement to regular medical treatments. However, once capacity is fully open, we expect volumes will be slightly higher than pre-pandemic levels for a prolonged period of time given the medical backlog. EIC's charter aviation services continue to perform well in Q4 supported by significant demand in the resource sector and new charter customers. Similarly cargo volumes have remained strong in Q4 and anticipated to exceed historical volumes going forward, but to a lesser degree as passenger volumes trend closer to pre COVID-19 levels. This is due to the permanent change we see on consumer buying habits and e-commerce games. EIC's medevac operations will continue their solid performance to the balance of the year and are now bolstered by the acquisition of Carson air, which is performing better than expected. The company's aerospace operations are expected to finish the year strong driven by increased demand for contracted ISR hours. This one continues its pandemic recovery in Q4 with strong demand for parts that is nearing pre-pandemic levels, as well as an elevated level of aircraft and engine sales similar in quantum to what we experienced in Q3. Larger aircraft and engine sales tend to vary significantly from quarter-to-quarter and the level of revenue experienced in Q3 unexpected in Q4 are abnormally high and are not anticipated to continue at those levels into 2022. But they do illustrate their depth nature Regional One to be opportunistic in changing market dynamics. Leasing revenues are still down about 60% from pre-pandemic levels, but continue to improve each quarter. Early signs of cancer return to normal levels by the second-half of 2022 with strong demand for engine leases and the strengthening of the European aviation environment, which is where many of our leased aircraft are located. Our manufacturing segment has seen material improvements and employee absenteeism and efficiencies with increased vaccination rates. However, COVID-19 impact on supply chain is increasing as is the challenges with labor shortages and is impacting margins. The impact on the companies in the segment vary by region and industry, but include price escalations on direct inputs, delays on deliveries and freight increases. In some of the companies such as our stainless-steel tank business, there is an ability to pass on incremental commodity prices. Well others like Quest where the industry norm is fixed price contract is not in the short-term and ability increase prices. Also as we previously discussed in respective Quest, production gaps and reduce revenue at our Quest operation will persist for the balance of 2021 and into the latter part of 2022. As a result of pandemic related project deferrals. Long-term demand remains healthy and Quest to seeing sale inquiries gradually return to pre-pandemic levels and a steady order book. Also, the balance of this segment continue to experience consistent robust demand, which will be further bolstered by the acquisition of Macfab in August that expands Ben Machine's product offering and adds capacity and Telcon just a few days ago, which enhances WestTower's ability to provide a fully integrated solution to telcos by combining wireline installation and maintenance services with power work. So, there will be margin pressure in the short-term. The segment's foundation is solid, and demand is not an issue and we are poised for future growth. Turning now to maintenance CapEx expenditures, our aviation operations move closer to pre-pandemic levels. Sorry as our aviation operations move closer to pre-pandemic levels, our maintenance capital expenditures will concurrently increase. Maintenance capital expenditures in Q4 will reflect the elevated level of flight hours and are anticipated to be similar in quantum to Q3. As for growth capital expenditures are focused for the remainder of 2021 will be on the investment in the two-surveillance aircraft required under the Netherlands contract. The construction of a new hangar required to meet obligations under our Fixed Wing Search and Rescue contract and realizing on purchasing opportunities uncovered by Regional One. As government subsidies are coming to an end, we are seeing signs of opportunistic purchases from distressed operators. As for acquisitions, we continue to see increased activity at the time we announced Carson, we indicated the EIC has three other transactions under LOI, two of those transactions Macfab and Telcon have closed and the third one we decided not to proceed with. We have however, entered into two additional LOI's with an aggregate purchase price of approximately $70 million. These include both tuck-ins and standalone acquisitions for existing segments. Subject to the completion of due diligence, we expect these transactions to close in late Q4 or early 2022. Now turning to EIC as a whole, our businesses have done a tremendous job weathering the pandemic and positioning for growth as we ease toward a new norm. This is evident from our strengthening performance quarter-over-quarter notwithstanding the material decline in government subsidies. In fact, we do not expect to call it micro subsidies for the balance of the year or thereafter. With performance achieved to-date and the momentum moving into Q4 we anticipate barring material unforeseen changes in COVID and government restrictions to complete 2021 with EBITDA nearing our 2019 results of $328 million. Longer term we expect an EBITDA run rate of $400 million, but the impact of the fourth wave on our A&A segment recovery supply chain challenges and labor shortages is pushing when we expect that run rate to be achievable to later in 2022. As such, we will not be entering 2022 with that run rate, but look to exit 2022 with the run rate. We will provide more specific guidance on our expected timing with our year-end results. As you can see, by effectively managing our operations to the pandemic for the long-term, find our principles for strategic investments and executing on opportunities that meet our criteria. By looking and investing forward, we have positioned EIC to continue accomplishing into the future. Thank you for your time this morning, and we would now like to open the call for questions. Operator?
Operator: Thank you. We will now conduct the question-and-answer session. [Operator Instructions] Your first question comes from Cameron Doerksen, National Bank. Cameron, please go ahead.
Mike Pyle: Morning, Cam.
Cameron Doerksen: Morning. Yes, thanks very much. Just, I guess, a question on the -- I guess the inflationary cost impact. Obviously that's impacting Quest. Is there anything that you can do -- and, obviously, this is going to take maybe a little while to mitigate this, but there is anything you can do on a more short-term basis with some of the other businesses to mitigate that inflation cost?
Mike Pyle: I mean, where we have the fixed price contracts, like Quest, there's not a lot you can do. We made a commitment, and we'll honor the commitments. And in the other businesses, the order or cycles are a lot shorter, so it's much more flexible in terms of passing that through to our customers. But there isn't any sort of change in policy that we can do to retroactively change our pricing.
Cameron Doerksen: Okay.
Carmele Peter: What we are doing is we have seen increased demand for some of the non-Quest products as given the market positioning. So, we are taking advantage, and sales certainly increased for AWI, and with our two acquisitions in the U.S.
Cameron Doerksen: Okay. No, that's helpful. And maybe the second question for me, can you just talk a little bit about the Regional One growth CapEx expectations here, in Q4, maybe into early 2022? I mean, what are you seeing as far as opportunistic purchase here, I mean it's been, I guess -- obviously, you've had some pretty good opportunities here last couple of quarters, but maybe anything on the outlook there?
Mike Pyle: Yes, it's been very interesting. Our thoughts of what was going to happen during the pandemic weren't particularly accurate in so far as the government support to the aviation industry around the world really delayed any rationalization of fleets and financial distress. We're starting to see as that government support lessens and forbearance periods under certain lending agreements with certain leasing companies come to a close. That there are more opportunities for distress purchases. The challenge with those is you never know whether you're going to be the successful buyer until you so. So, we're optimistic. We've seen greater opportunity than we have in the last little while. But we don't have anything significant under contract or anything I can announce at this time.
Cameron Doerksen: Okay, no, that's great color. That's it for me. Thanks very much.
Operator: Thank you. Your next question comes from Steve Hansen, Raymond James. Steve, please go ahead.
Mike Pyle: Morning, Steve.
Steve Hansen: Yes, good morning, guys. Thanks for the time. And I will say congrats on all the [community efforts] [Ph], and like I think the [S is not lost] [Ph] in the whole ESG debate, so kudos to you and the team. Just the first one for me is a follow-on on Cam's question to some degree, but I just want to understand the tension right now that you are seeing between M&A opportunities and capital deployment into organic type growth, like Regional One? And then how are you squaring those two offering, now you've got a couple of LOIs underfoot, it sounds like. But maybe just dealing with [indiscernible] for the relative opportunities that you're seeing internally versus externally?
Mike Pyle: Yes, I mean it's an exciting period for us because when Regional One has the opportunity to buy things, that's what fuels their growth. Their success is driven by how well they buy product, and that enables us to sell it. And so, we're excited when those opportunities come, and that's why we structure our balance sheet the way we do so that we can move quickly if, as and when they come. We continue to see good flow through our acquisition pipeline. We've got two under contract that we're excited about, and anticipate closing in the next, well, 90 days or so. But I really don't view it as an either/or, internally we very much take -- our view of capital is that it's an office's job to fund all the good opportunities we see. Our balance sheet is in great shape. As we speak, we've got one debenture that comes due next year, and we'll probably refinance that at some point before it comes due. And other than that, we really don't have any great financial demand. So, I think we're in a good spot to be able to fund the opportunities we see now.
Steve Hansen: Okay, very helpful. And just one follow-up and I'll jump in the queue. It's just on the integration now of Carson. Again, your footprint seems to be really nicely solidified, I suggest here. And I think you've spoken in the past on future opportunities for the medevac platform. But is that something that's got a fair bit of runway of growth still, either organically or acquisitively, can you broaden the reach into other regions, and how do you feel about that platform, is the general question?
Mike Pyle: Yes, the medevac platform, through the pandemic, has been remarkably resilient. And not that that was a surprise to us, but I think the level of resiliency was positive. And so, well, we were able to add an industry leader, like Carson, into our existing group, it gave us a foothold on the West Coast. And I think you'll see tremendous opportunities for us, both in the fixed wing business, as we expand into parts of Canada where we don't currently operate, and that really could be organically by winning new contracts, or it could be acquiring other strong companies which have contracts, and by an expansion into the rotary wing part of the medical evacuation business, where we have a small foothold in Manitoba, but we're really just beginning. So, I think you'll see organic and acquisitive growth in that area over the medium-term.
Steve Hansen: Appreciate the color, guys. And thanks.
Operator: Thank you. Your next question comes from Chris Murray, ATB Capital Markets. Chris, please go ahead.
Chris Murray: Yes, thanks, folks. Maybe starting off with the aviation business, and just thinking about how that's evolving, sort of sounds like definitely things are getting better. And you did highlight some pent up demand. Can you talk a little bit about how you expect seasonality to play out? It sounds like maybe a little bit less seasonality than normal as we go into next year? And then the second part of this, you've also talked about coming off the government support. I would assume that would be not only for things like Qs, but also for some of the support into the remote communities. You -- previously, Mike, you've talked about not wanting to do anything around the dividend until those programs had ended, just any additional thoughts around dividend? Anyway, I'll leave it there, and then let you answer those questions.
Mike Pyle: Okay. Answering the second question first, the -- our payout ratios, we're at a level where, financially, we could definitely consider increasing our dividend, and that's a key part of our business model. We want to share our success with our shareholders, and that's given us our 5% CAGR in our dividend, since we started. We don't want to be perceived as utilizing government money that was to help us maintain services as a way of paying for the dividend. And as such, we've chosen to wait until we've cleared any sort of government support on our dividend, that's happened now. And so, we're going to be in a position to look at our dividend in the short and medium-term. The original question about the seasonality of the business, that maintains. The adding of businesses like Carson help to mitigate that because the medevac business isn't as seasonal or seasonal at all, frankly, relative to our passenger business. We anticipate a normal kind of relationship between the third and fourth quarter. The third quarter is always our company's strongest, and there is a slight decline for the fourth quarter simply because, on the manufacturing business, it's slightly harder to do some outside work. And in the aviation business, Christmas freight work is high volume and lower margin. So, we would anticipate sort of a normal seasonality to the business.
Chris Murray: Okay. And then my other question just is on corporate costs, a lot higher than normal in the quarter. Just wondering if there way anything unusual maybe related to this change in the DSU plan, or any other color you can give us on why the costs were significantly higher?
Mike Pyle: Yes, the DSU plan had absolutely nothing to do with the cost change here, Chris. That the DSU plan was just simply that we had a plan that never distributed vested units. And so, some of them have been sitting there for a decade-and-a-half, where people had earned and invested and they just hadn't been distributed. So, that's fully gone through the income statement in previous years, that has no impact. The increase in the short-term was the sum total of two things. It was that, in the preceding year, there had been voluntary wage reductions and cost reductions, very little accrual for incentive compensation. Whereas this year reflects a more normal salary structure, and a regular accrual of incentive compensation based on the program we have. And so, it's not out of line with preceding years, although the company is bigger, so it's a higher number, but it would be in line relative to the size of the company with preceding periods.
Chris Murray: Okay, we'll leave it there. Thank you very much.
Mike Pyle: Thanks.
Operator: Thank you. Your next question comes from Kevin Chiang, CIBC. Kevin, please go ahead.
Mike Pyle: Good morning, Kevin.
Kevin Chiang: Good morning, Mike and team. If I could just go back to a question, I think Ken and Steve had asked a few questions here. Just given the fixed price contract nature of that business, are you throttling back on bidding just so they are not caught, booking contracts, just given the uncertain outlook versus for certain costs and inflation or do you feel comfortable that you can build an a big enough buffer that you can kind of quote today on projects quarters or months from now, even though inflation is running hot today.
Mike Pyle: Yes, that's a really good question. We need to continue to transact business in the environment we're in, we're building it buffers for those things, working with our customers. And you may well see a movement in some of those contracts. It's volatile enough to flow through the SFI model where there's flow through increases or reductions in price based on commodity levels. That is not the industry standard in windows at this time. But these projects are with our existing customers and long-term customers. And we're going to make sure we look after our customers. So, we're going to remain active take advantage of opportunities there. And we'll manage the cost as best we can.
Kevin Chiang: Okay.
Carmele Peter: Looking to be innovative on our approach, whether that is working with the customers so that they're set, take dates, so that takes some variability out of it. I mean, from our customers perspective, commodity prices may go up, may go down. So, it's something that we have a vested interest in as partners together to try and look to future contracts that make sense for both the customer as well as Quest manufacturer. So, we're working through those strategies to try and deal with things on the shorter to medium-term.
Kevin Chiang: That makes a ton of sense. And just on just getting all the supply chain issues and resource availability issues, just wondering with these vaccine mandates getting put forward by guess both the Biden administration south of the border, and obviously here in Canada for certain federally regulated industries, is that impacting your labor availability at all, or exacerbating it in markets that you're already short?
Mike Pyle: Our labor issues are not affected the same way as they were by COVID. In the past, we had a lot of employee absenteeism trouble anticipating exactly how many people are going to be in the factory on a given day, that level of unpredictability has largely gone away. Vaccination levels in Canada are very high. And it really doesn't impact us in the same way. Having said that, there is a labor shortage in certain places we're in. To give you an example in Springfield, where those concentration of stainless steel manufacturing, competition for employees is high, even absent the COVID issues. And so, that's where tight labor markets create the challenge sort of more than COVID, the tight labor markets are indirectly the result of COVID but not entirely as businesses are expanding, there's just demand for employees. We're somewhat optimistic that as government subsidies to pay people to stay at home go away in Canada in particular, it will lessen some of those labor restrictions. Carmele, have you got anything else on that?
Carmele Peter: Yes, let me add a little bit more color on the vaccination aspect of this, because as you correctly point out, all our airlines workers are mandated to have employees vaccinated. And we were ahead of that very early on, such that we literally at each of our airlines have less than five people that are vaccinated. So, when the rule came into effect, it virtually had no impact on us. And you've seen the headlines from other airlines. So, manage that very, very well. So, no impact there and then let me give you an example of manufacturing side where we've actually taken advantage of this and that's our wireless company, Westower where many of these sites that we work on do require vaccinated employees. So, obviously those employees that we send will be vaccinated, but there are some that do not require it. So, we have a pool of individual employees who have chosen not to get vaccinated, and we use them on those sites and in fact, have picked up employees where other employers have been very dogmatic. It's no, you have to be vaccinated. So, we've actually increased our labor force a little bit, they have to use in obviously, the right circumstances, but it's just an illustration of how we try to use the rules, as best we can and leverage their capability.
Kevin Chiang: That makes sense. And let me just last one for me. In the prepared remarks, you talked about earnings this year, getting pretty close to pre-pandemic levels, getting a run rate to $400 million of EBITDA, I guess exiting 2022, so that obviously puts you above what you were doing a few years ago. So, it seems like you're in your mindset now returning to growth here. As you come out of this pandemic, I'm just wondering at a high level, has that changed how you want to shake this company just given M&A has played a key role here and how you built this portfolio, are the end markets, you want more exposure to, end markets you want less exposure to just the lessons from the crisis that might change how you kind of think of this company five, 10 years from now?
Mike Pyle: I think, Kevin, the greatest thing that the COVID pandemic has done for us in terms of our strategy is it's entrenched the value of our diversification. We didn't have the same challenges in the same businesses all the way through this. And as a result, when other aviation exposed companies were discussing daily cash burns, we were generating free cash flow enough to fund our CapEx and to pay our dividends. And so, we're even more committed to the concept of a strong group of companies that aren't entirely in the same businesses. Having said that, I don't think you will see us expand into multiple segments, we've always talked about we'd love to have some exposure to the Agricultural segment, we haven't been able to find anything at this point that fits our standards and our pricing requirements. So, whether we'll ever be able to do that is questionable. But in terms of adding more companies like Carson to add to our medevac business or adding the underground capabilities to WesTower, or Macfab to increase the production capacity out of machine, I think you could expect more of the same on that, where we have an opportunity to expand into something that we know that's got a reliable cash flow stream and helps diversify our earnings. We will do that.
Kevin Chiang: I appreciate you taking my questions and have a great weekend everybody. Congrats on a good quarter there.
Mike Pyle: Thank you.
Operator: Thank you. Your next question comes from Nauman Satti, Laurentian Bank. Nauman, please go ahead.
Nauman Satti: Hi, good morning, everyone, and congrats on the quarter.
Mike Pyle: Good morning, Nauman. Thank you.
Nauman Satti: Yes, just going back to the question of normalized EBITDA, I'm just wondering this quarter, you guys have done $95 million. And there was a lot of, I would say some challenges on the manufacturing side. So, going forward, what additional pressures or challenges do you anticipate or I would think that the normalized levels could go even higher if these manufacturing segments sort of bounces back, but just want to get your thoughts, where the pressure or challenges you're seeing or potentially from?
Mike Pyle: I think if we do use Q3, because the number is there, the $95 million, we achieved that with two key challenges, the disruptive Schedule class, which made our production inefficient and didn't allow us to generate what we would expect to generate in that business. That problem is going to go away over time as we get through the pandemic and regular scheduling occurs. So, that will definitely increase our EBITDA on a normalized basis. And then the other one is on the Aviation front. Well, we've had really good improvements and in some businesses actually being better than the pre-pandemic like our Freight and medevac, and Charter Business have all strengthened beyond pre-pandemic numbers. We're still missing 25% of our passenger revenue, and that's a big number. So, that's going to improve our performance on a go forward basis. And the other thing, that's going to help us is when the lease portfolio at Regional one normalizes that's running at slightly less than the half of what it would in a normal period, we see those leases improving. And as Europe normalizes like North America, we anticipate that will return to normal by sort of mid next year. The interesting thing is, is that our leasing revenue is almost 100%, EBITDA dollars and so that has a disproportion impact on our earnings. So, as that leasing portfolio strengthens, you'll see further growth in that EBITDA number.
Nauman Satti: Okay. That's very helpful. And just one last one for me, if you could -- if there was any update on the current cell turbulence contract that was up for renewal?
Mike Pyle: Yes, we have submitted our bid and we anticipate hearing back and that Carmele late this year, early next year.
Carmele Peter: Yes, we actually anticipate hearing in Q4, so it'll be sometime this quarter
Nauman Satti: Okay. Appreciate it. That's it from me. Thank you.
Operator: Thank you. Your next question comes from Jeff Fenwick, Cormark. Jeff, please go ahead.
Mike Pyle: Good morning, Jeff.
Jeff Fenwick: Good morning, Mike. How you are doing?
Mike Pyle: It's a good day.
Jeff Fenwick: Yes. I wanted to circle back onto the power legacy performance in the quarter. I mean, the top line obviously a very nice step-up, but the thing that stands out to me is that the margin went back into the EBITDA margin for that continues to remain pretty high, I guess versus pre-COVID. When I look at the numbers, I know you guys instituted a bunch of cost saving efforts. And you mentioned that this was starting to become a more consistent part of your quarters here. So, how do we think about the margins for that part of the business you're going forward? Is there a bit of a catch up that has to happen on some of these OpEx items? Or can you sustain those kinds of strong margins?
Mike Pyle: No, I think well, bear in mind, the one thing that we still did have a small amount of assistance is in our aviation business in Manitoba and Ontario. We had that $5 million of government assistance from the previous quarters. So, that helps our margins. By going the other way, the last dollars of passenger business are our very high margin dollars, because when you add extra people to an aircraft that's already going most of that flows to the bottom-line. So, we think there's still lots of room to continue to grow EBITDA on an absolute basis in the aviation business and we expect stronger margins exiting the pandemic that we had going in, largely because some of the costs stuff we've been able to do through the pandemic. And the other thing that's kind of an under discussed part of our businesses with the strength of the mining and exploration business, we're picking up a lot more charter and contracted flying in that area. And it's been probably a decade since we've seen this level of activity on that side of the business. So, that gets us better utilization of our aircraft.
Jeff Fenwick: Okay. Thanks, that's helpful color.
Carmele Peter: Sorry, Jeff. I just mentioned is on the airline side as well, we had a little bit of growth in routes for provincial airlines in the quarter, which will further drive revenue as we look forward.
Jeff Fenwick: Okay, great. And then I wanted to talk about the maintenance CapEx bills, you call that other than your quarter as well like it is obviously, but activity picking up that is going to grow and just trying to think about it with respect to the free cash flow payout ratio here, is the sort of big picture high level thinking maintenance CapEx is going to march along higher with EBITDA and just the free cash flow payout ratio kind of hanging out here or is it likely that the maintenance I know there's some uptake through Q4 and then see Q1 typically seasonally higher, like does the free cash flow payout ratio start to trend a little bit higher here over the next couple of quarters?
Darryl Bergman: That's a really good question. The maintenance CapEx profile is directly proportional to how much we fly. Most of the things you're doing overhauling engines, overhauling landing gear and those things are done based on how much you're flying. So, we will see those increases as we fly more. But there is no deferred maintenance CapEx. It's not like we've chosen not to do something to save cash for a later period where everything is in line with where it should be. You will see a bump up in Q4 because it's not. It's not something that's exactly equal quarter to COVID timing of like engine overhauls. You could have for this quarter into next quarter with an average of three, so it bounces around a bit Q4 will be higher than a normal Q4, but not by much. In terms of Q1, we're still in the budgeting process, but we try and do as much as we can during the slow winter season, so that we've got all the planes for the busy summer season. And as we trend back to full utilization of our aircraft, the maintenance CapEx costs of 2019 is a good proxy for that. Carmele, do you have anything else on that?
Carmele Peter: No, I'd agree with those comments and kind of the range that you've given that's reflective of what we anticipate on that CapEx side. I mean, there's obviously been -- we've increased our fleet to capture some of the revenue, so -- but I think that what you've given is accurate.
Jeff Fenwick: Okay. And then maybe just one, last one on M&A, I mean you gave us some good color earlier in your comments there, Mike. But with $900 million in liquidity, the balance sheet is in a really good shape here. It sounds like it's more of these sorts of maybe $50 million to $75 million ticket size as you're looking at. But would you be in a position that you would contemplate more of a platform acquisition? I know there is still a lot of moving parts in the economy that probably make that tough. But would you contemplate doing something that's more of like a $300 million, $400 million or $500 million acquisition at some point?
Mike Pyle: Absolutely. We actually have a couple of things we're investigating as we speak. We're early in the process, but where we see value and -- with a long-term focus that maybe somebody else doesn't see, this is the best time to buy on those kinds of things. And I don't want to suggest anything as imminent or we're very close to something, but we're very active looking on that front. And we won't do deals for the sake of doing deals, but I'm a big believer. Adam's team has done about five deals over the last year. So, those have been tuck-in because that's what's been available and that's what we've been able to do from a due diligence point of view. But in no way should anyone take that as that's all we're looking at. We are active on the bigger transaction size as well.
Jeff Fenwick: Okay, great. Thanks for that color. I will re-queue.
Operator: Thank you. Your next question comes from Ryall Stroud, RBC. Ryall, please go ahead.
Mike Pyle: Good morning.
Ryall Stroud: Yes, good morning everyone and nice results today. I just wanted to touch on the run rate $400 million EBITDA guidance exiting the pandemic and try to understand what's embedded within that. So, this is run rate number impaired like any normalization of project delays at Quest. And would it also include contribution from the $70 million expect to be spent on these two new acquisitions in the next three months?
Mike Pyle: That's a good question. It does not include anything that we haven't paid for. So, the $70 million worth of acquisitions that are under LOI are not included in that number. It returned -- it includes a return to normal at Quest or more normal environment, which of all our businesses that's probably the one that will take the longest to get there. And when it does, we will probably be exceeding the $400 million. Do I miss anything there, Carmele?
Carmele Peter: No, I mean, so there's -- we take a step back and look at it. We've got what I've referred to as pent-up EBITDA in R One as its leases normalized, Quest obviously -- and there's two types of Quest expansion. There's one just getting it back to the level it was. And then, of course, we had additional capacity as in the Dallas plant that we can utilize as well. So, that's -- that additional capacity has not built in. It's just getting back to the level that we were at. And then there is also kind of EBITDA for our flight school as our foreign students start in the -- hopefully the first start of -- or the first part of 2022 to come back online, then that will be an increase of EBITDA there. So, those started to kind of gather up and get us $400 million , but the other projects that we haven't paid for to Mike's point are not embedded in there or future growth potential, even with the money we spent is not embedded in there.
Ryall Stroud: Okay, okay. That's helpful color on the puts and takes there and actually leads well into my next question, which is on the mountain flight college and given some of the news headlines surrounding the pilot shortages in several pockets of the global air travel industry. I'm curious have you seen a material uptick in any of the kind of demand or registrations recently? Or are the headwinds as you mentioned with the international student pool still offsetting this?
Carmele Peter: Yes, so I can take that question.
Mike Pyle: Sure. Go ahead, Carmele.
Carmele Peter: So, domestic students have actually remained relatively strong throughout the pandemic. We are seeing a definite uptick in that though as we go forward. The foreign students, the only issue that we've had there, the demand is absolutely there is just getting them through the process and into the country and vaccinations and isolation periods, et cetera. So, once that starts to flow and we think it will almost be like a flood gate. It will open up. We think that that will come back and then do believe there will be demand in excess of where we were before. And so, look and we have now the advantage because Carson Air also has a flight school of being able to leverage capacity with the flight school at Carson to fully access, I think, the demand that will exist. And of course, if it's beyond that, we will, of course, look to organically, potentially establish a third base.
Ryall Stroud: Okay, great. That's very helpful. I'll pass the line here.
Operator: Thank you. Your next question comes from Tim James, TD Securities. Tim, please go ahead.
Mike Pyle: Good morning, Tim.
Tim James: Good morning everyone. Thanks for taking my call. Actually just one last remaining question from me, the CEWS, the elimination of CEWS this year, I know sort of last year, the thinking was or while you were collecting the CEWS benefits was -- that that was a benefit that would -- if it were not in place, you'd be making sort of cost structure adjustments to account for that given the lower level of business. As you think forward now given that that is no longer in place, are you able to eventually recapture through further adjustments to your costs, the lost benefit of CEWS in those effective businesses?
Mike Pyle: Yes, that's a really good question. You have to look at CEWS in sort of two separate buckets, the stuff we received on the aviation front together with the support we received for provincial and territorial governments that money was truly reinvested in extra flying that we wouldn't have been able to do absent the government support. So, you see as the majority of that money has fallen off. In the aviation business, the margins have stayed where they were, which is evidence of the fact that money was used for what it was intended. On the manufacturing business, trying to get a double whammy because demand remained strong through that. And as a result, the CEWS did help us where -- a period where margins would have definitely tightened because of access to employees and things we had to do to keep our people safe. As we exit now, we don't have the CEWS. So, we've seen a slight decline in the manufacturing sector at the same time as we're dealing with the supply chain issues and the inflation material prices. So, the government support is almost kind of miss timed for us in manufacturing because now it was a more difficult period as it relates to some of those costs features, but you can see that we've basically exited the government support in aviation and our margins are back ahead of where they were historically.
Tim James: Okay. Thank you very much.
Operator: Thank you. Your next question comes from Matthew Weekes, IA Capital. Matthew, please go ahead.
Mike Pyle: Good morning, Matt.
Matthew Weekes: Good morning. Thanks for taking my question. I think I just have one here. It looks like -- you talked about all the positive momentum in the aerospace and aviation segment and some positive demand trends that are happening there. I'm just wondering if you could provide some commentary on how growth happened in the quarter on a basis of volume versus passing through pricing increases for fuel and that sort of thing and how that contributed as well?
Mike Pyle: Okay. The fuel increases were passed where they needed to be. Those were not in aggregate dollars a big number where you saw the biggest improvements in revenue and aviation were driven by a) the large aircraft sales and engine sales at Regional One, which were approaching all time highs if they didn't actually exceed historical numbers together with improvements in the charter business where we're doing some flying on natural resource projects, where that didn't really exist the year before and together with a continued strong freight performance. So, those would be the main drivers and of course increases in passenger load factors. The fuel prices do play a part in our passenger revenue numbers, but in percentage terms it's not a big number.
Matthew Weekes: Okay, thanks. I appreciate the color on that. And in terms of the large asset sales that are kind of growing at higher than normal levels at Regional One. Are these typically a higher margin sales as opposed to parts and the leasing revenues?
Mike Pyle: No, they would be absolutely the opposite there where if we were to take a plane and part it out, we might make 30% or 40% or 50% margins on the parts whereas if you were to sell a whole plane, your margin would be a fraction of that. So, it's bigger dollars and it definitely impacts revenue and it does help EBITDA, but a dollar in leasing revenue is the highest return in terms of EBITDA, a dollar in parts revenue would be the second highest and then the lowest return from an EBITDA point of view on an additional dollar in sales would be in large asset sales.
Matthew Weekes: Okay. Understood. Thanks for the color on that. I'll turn it back.
Mike Pyle: Thank you.
Operator: Thank you. [Operator Instructions] Your next question comes from Konark Gupta, Scotia Capital. Konark, please go ahead.
Mike Pyle: Good morning, Konark.
Konark Gupta: Good morning, Mike. Thanks for squeezing me in here. I know the call has been longer, but we want to stay kind of brief focused on a couple of things here quickly. On the $400 million EBITDA that you kind of expect exiting 2022, obviously that's pretty remarkable compared to where we were just like last year, so kudos on that. But I was just kind of wondering how do you think about because Regional One has been kind of lumpy in the sense that you can have aircraft sales and parts and engines and leasing in a lot of moving parts there? How should we think about EBITDA in a more sort of normalized environment without Regional One, will that be something closer to $300 million is a fair assessment, or it's going to be more than $300 million?
Mike Pyle: $300 million for what, are you talking about a revenue number Konark or -- 
Konark Gupta: No, just the full EBITDA across exchanging some -- excluding Regional One.
Mike Pyle: Well, Regional One at 2019 was a little over $100 million in Canadian dollars. And we anticipate that we will be back at that -- at some point during next year. It's important to understand that they're diversified within their business. And so, the fact that in a given quarter asset sales are higher or lower is often offset by less parts sales in that period or different leasing revenues. And so, the revenue number has always been the most volatile at Regional One. The EBITDA number is remarkably consistent. And we're on a very good trend that we'll see us get back to pre-pandemic levels in the near-term. In terms of surpassing that if we get some opportunities to buy some assets, we may grow beyond that, but that's not included in the $400 million number. Carmele, have you got anything else on that?
Carmele Peter: No, I mean, I would agree. The one thing I guess I would add is that as we look forward I think what you've been seeing is if you look at articles in the aerospace and aviation sector is that engine shop visits are in huge demand. I mean, I think Pratt & Whitney came out with its results in Q3 and its revenues were up 25%. And that is going to drive engine leases. So, we see kind of a good opportunity there for our businesses as we look forward. And that's what Regional One is really good at. It's not that they're dependent on any one thing, it's not like they have to lease a whole aircraft. They've got the flexibility to do what makes sense for the market and hence why their EBITDA tends to be consistent, how they achieve it is in different ways, but they're achieving it is consistent.
Konark Gupta: That's great color. Thanks guys. And last one for me, you talked about Regional One leasing Quest, Moncton, a few other subsidiaries that will obviously -- they took some pent-up there and they will recover as we come out of this pandemic. But my big picture question is whatever you have picked up during this pandemic on the positive side, is anything there that you think might fall off or reduce like for example, charter cargo, any of those things you can think off -- that comes off in the next couple of years.
Mike Pyle: I think the one thing that's really surprised us, Konark, is the resilience of the freight revenue. Our internal expectations were that it was going to fall in direct correlation with the improvement of the passenger numbers. It hasn't, it's plateaued but we think there's been a change in how the northern people are buying. And so, we anticipate that that will maintain higher than prepandemic levels whether it falls off slightly from these levels, it may well do that, but we anticipate continued strong freight revenue. The other thing we've seen is the resurgence of the natural resource market and exploration and development of mines. That's something we haven't benefited from in a decade. And I think we're at the beginning stages of that. So, I think there's always the opportunity for continued growth on that charter revenue to replace charter revenue that perhaps that was pandemic related, like our ISR -- no, I'm sorry, our ISC charter work where we did, we moved the nursing people around the country to get them into Northern remote locations. So, I think there may be some trade off there. I don't know if Carmele has got any other insight on that. But that was there.
Carmele Peter: Yes, I mean I think you're bang on, Mike; it's the resource sector that to extent to there is a decline in charters that was driven up a bit by virtue of what I'll call COVID specific need going to be offset by the resource sector. And the other thing that we've seen actually, the pandemic has been very effective and allowed us to attract, I think work we may not have in the past is our ability to utilize our assets in our we'll call our global or collective fleet to perhaps provide a service that otherwise individually we would not have been able to do. And so, we will continue to look for opportunities. I mean, ISC is an example obviously, that's a pandemic one. But nonetheless, what we do and whether it's the Bombers, we bring in a number of different people, different locations, those logistics, very, very effective and I think we'll certainly look to exploit our capability in that regard.
Konark Gupta: That's pretty clear. Thank you so much, and congrats on the quarter.
Mike Pyle: Thank you.
Operator: Thank you. There are no further questions at this time. Please proceed.
Mike Pyle: I just want to thank everyone for sticking with us through a long call here. There was a lot to discuss, but a lot of good things to discuss. We're excited about where we are. We look forward to talking to you again in February with our year-end results. Have a great day.
Operator: Thank you. Ladies and gentlemen, this concludes your conference call for today. We thank you for participating and ask that you please disconnect your lines.